Operator: Good morning, and welcome to Dana Incorporated's Third Quarter 2024 Financial Webcast and Conference Call. My name is Regina, and I will be your conference facilitator. Please be advised that our meeting today, both the speakers' remarks and Q&A session will be recorded for replay purposes. For those participants who would like to access the call from the webcast, please reference the URL on our website and sign in as a guest. [Operator Instructions] At this time, I would like to begin the presentation by turning the call over to Dana's Senior Director of Investor Relations and Corporate Communications, Craig Barber. Please go ahead, Mr. Barber.
Craig Barber: Thank you, Regina. Good morning, everyone. Thank you for joining us today for Dana Incorporated's Third Quarter 2024 Earnings Call. Today's presentation includes forward-looking statements about our expectation for Dana's future performance. Actual results could differ from what we discuss today. For more details about the factors that could affect future results, please refer to our safe harbor statement found in our public filings and our reports with the SEC. Before we proceed, I encourage you to visit our Investor website, where you'll find this morning's press release and presentation. As a reminder, today's call is being recorded and supporting materials are the property of Dana Incorporated. They may not be recorded, copied or rebroadcast without our written consent. On the call this morning, we have Jim Kamsickas, Chairman and Chief Executive Officer; and Timothy Kraus, Senior Vice President and Chief Financial Officer. Now we'll get started. I'll turn the call over to Jim.
James Kamsickas: Good morning, and thank you for joining us today. Please turn with me to Page 4, where I'll discuss the highlights from the third quarter of 2024. Dana reported sales of $2.5 billion in the third quarter, lower than the prior year due to softening demand of electric vehicles across markets and reduced internal combustion engine vehicle sales for commercial trucks, off-highway equipment and certain light truck programs. Adjusted EBITDA for the quarter was $232 million, down slightly from last year despite the significant and rapid sales reductions across all mobility markets. Importantly, despite the reduced sales, Dana achieved 30 basis points of profit margin expansion, delivering 9.4% in the third quarter. The strong profit performance was a direct result of outstanding operating and business system execution across all areas of the company. We continue to strengthen the business by leveraging core operations, new technology, and our exceptional people. Moving to the upper right of the slide, I'll walk you through a few key highlights for the quarter and the remainder of the year. We see further weakening demand for ICE, hybrid and electric vehicles across most mobility markets, including commercial trucks, off-highway equipment and certain light truck programs as a result of ongoing inflationary pressure, global uncertainty, and higher vehicle inventory levels, which have driven down production. Within our off-highway segment, specifically, we saw lower demand, particularly in Europe, especially within the construction and agriculture equipment markets. Second, yet again this quarter, the company continued to achieve company-wide efficiency improvements resulting in increased profit margin, all while overcoming the softening demand impacting our markets. Our team has done a remarkable job, efficiently flexing manufacturing-related cost drivers, at the same time, the entire organization continues to achieve price and other fixed and variable cost improvements across Dana and throughout our value chain. Lastly, as stated in the bottom right-hand corner of the page, Dana remains within our full year profit, profit margin and free cash flow ranges as a result of: one, profit conversion on traditional and organic sales; two, strong working capital performance; and three, prompt and efficient capital investment spending adjustments as OEMs rapidly modify vehicle development plans and timelines for future ICE, hybrid and electric vehicles. Please turn with me to Slide 5 to review how Dana consistently improved profit margin despite the challenging operating environment. Over Dana's 120-year history, the company has been a leader in highly engineered internal combustion engine powertrain, sealing and thermal management solutions. However, over the past several years, Dana did what many said could not be done. We disrupted ourselves by establishing industry-leading in-house hybrid and electric vehicle e-Propulsion and e-thermal capabilities. The Dana team has proven it could be done. Today, our vertically integrated ICE, PHEV and EV strategy serves as a differentiator to winning replacement and new programs from our customers across all mobility markets. As challenging as this technological transformation was, as Slide 5 illustrates, this was accomplished while simultaneously expanding profit and facing the most volatile demand, unprecedented inflation and supply chain disruptions that we've experienced in our lifetimes. Today, we have strong momentum due to our disciplined approach and the execution of our outstanding team. As of the end of the third quarter, we've achieved 3 consecutive years of consistent quarterly adjusted EBITDA margin improvement. There's work to be done, but the team is doing a remarkable job threading the needle by positioning Dana as a supplier of choice for ICE, PHEV and EV growth while navigating risk and improving returns. The progress including increasing our adjusted EBITDA margin to 9.4% in Q3 can be directly attributed to: first, providing differentiating customer satisfaction, meaning quality delivery in the most advanced technology portfolio in the history of the company; second, leveraging synergies and scale to achieve company-wide efficiency improvements; and third, materially improving performance on every facet of the company for overall business execution. Please turn with me to Slide 6, where I'll provide a brief update in our markets. As we finish out the year, we anticipate continued softening in most of our end markets. Beginning on the left side of the slide, let's look at our off-highway segment, where we're seeing lower demand, particularly in Europe. Agriculture is down compared with last year, and demand for construction equipment softened in the third quarter and will likely continue for the remainder of the year. Furthermore, we anticipate mining equipment demand staying flat compared with 2023. While we expect light vehicle full-frame truck production volumes to remain relatively stable for key recently refreshed vehicle platforms, we are seeing softening in some programs as dealer inventories have continued to rise. Consistent with what we shared with you last quarter, we are witnessing markets for heavy vehicles to be lower compared with 2023 with both medium-duty and heavy-duty truck demand softening in production throughout the remainder of the year. Moving to the right of the slide, Dana's operating priorities as we look to finish out 2024 and move into 2025 include 4 key priorities. Our first priority is maintaining our disciplined approach, while achieving balanced growth. Dana supplies class-leading conventional and clean energy solutions to nearly every vehicle manufacturer around the world, which provide stability through market cyclicality. This, combined with our ability to flex our cost structure and generate efficiencies through the current adverse market conditions enable us to remain focused on technology innovations that support future growth. Second, because Dana provides product, systems and technology to customers across all end markets, we're able to leverage synergies and scale to maximize impact. Thirdly, because of the flexibility of our manufacturing capabilities and locations, we can optimize our resources across multiple markets and regions, which enables us to maintain agility to meet ICE, PHEV and EV demand. Lastly, a prudent use of capital enables us to maximize the investment necessary to continue supporting new business growth across markets. Moving to the bottom of the slide, our early expectations for 2025 see us operating with a lower cost structure as we navigate softer end market demand, including tempered demand for electric vehicles. Please turn with me to Slide 7, where I will share some exciting news with you about a first-of-a-kind high-performance transmission system, innovation from Dana Graziano that is garnering deserved attention from across our industry. As I highlighted on my previous slides, Dana is very calculated where we invest regarding technology and innovation to ensure that we achieve profitable growth, while providing our customers with the most advanced capabilities they require to bring their products to market. A great example of this is Dana's modular, high-performance, hybrid 8-speed dual-clutch transmission, which has been selected as an Automotive News PACE Award Finalist for 2025. This state-of-the-art hybrid 8-speed DCT transmission platform is unparalleled in the market. We developed this first-of-a-kind solution to enable the highest levels of power and torque density performance in its class. As you know, supercars are defined by their performance. So electrification must enhance them, while at the same time, delivering emissions improvements. And believe me, improved emissions does not take away from the performance of the all-new 2024 Lamborghini Revuelto, its first series produced plug-in hybrid. The vehicle boosts an output of just over 1,000 horsepower and goes from 0 to 60 in a remarkable 2.5 seconds. Dana solution is novel by virtue of its segment-first modular nature that includes both transversal and longitudinal variance offerings. The technology is versatile with vehicles being able to operate in ICE-only, pure EV or a variety of hybrid blended modes. The key being that users can switch between these modes to amplify efficiency and performance, whether the driver prioritizes fuel economy, craves exhilarating performance or seeks a balanced approach, there is a mode to perfectly suit their needs. Thank you for your time today. Now I'd like to turn it over to Tim, who will walk you through the financials.
Timothy Kraus: Thank you, Jim, and good morning to everyone. Please turn to Slide 9 for a review of our third quarter and year-to-date results for 2024. Beginning with the third quarter, sales were $2.48 billion, $193 million below last year due to lower vehicle production. Year-to-date sales were $7.95 billion, lower by $119 million. Adjusted EBITDA was $232 million in the third quarter for a profit margin of 9.4%, that is a 30 basis points improvement over last year's third quarter. Year-to-date, adjusted EBITDA was $699 million, $10 million higher than the previous year for a profit margin of 8.8%, 30 basis points better than last year. Profit improvement is primarily due to cost saving actions and better efficiencies across the company, which is more than offsetting the negative contribution margin on lower sales. Net income attributable to Dana was $4 million for the second quarter, about $15 million lower than last year, primarily due to higher income taxes. Full year net income or year-to-date net income was $23 million compared to net income of $77 million last year. The difference is primarily due to higher taxes and the planned divestiture of a noncore hydraulics business that was announced earlier this year. This transaction did not close in the third quarter as expected, and we are no longer classifying this business as held for sale. The overall loss has been adjusted to reflect this change in classification. However, $26 million of the loss that was previously recognized to adjust the carrying value of net assets to fair value, remains as per Dana's accounting policy. And finally, operating cash flow was $35 million for the quarter and $148 million year-to-date. Lower operating cash flow this year was driven by higher working capital. Please turn with me now to Slide 10 for the drivers of the sales and profit change for the third quarter of 2024. Beginning on the left, traditional organic sales were about $100 million lower driven by lower OEM production of heavy vehicles and certain light truck programs, partially offset by market share gains and new business. Adjusted EBITDA on organic sales was $22 million. This strong profit flow-through was due primarily to improved cost efficiencies across the entire company that generated a 125 basis points improvement in margin. EV organic sales declined by $54 million, driven by reduced end market demand in our driveline segments, offset by gains in battery cooling sales in Power Technologies. Adjusted EBITDA was $25 million lower, which included the impacts of both lower sales, unfavorable mix as well as higher launch costs as we ramp new EV programs. Foreign currency translation decreased by $15 million, primarily driven by lower value of the euro and real compared to the U.S. dollar. Profit was lower by $1 million with no margin impact. Finally, due to falling commodity prices, commodity cost recoveries in the second quarter were $19 million lower than last year. The profit benefit of the lower commodity prices was offset by the timing of cost mechanisms within the commodity recovery agreements with customers, resulting in profit being lower by $6 million, a 20 basis point decrement to margin. Next, I will turn to Slide 11 for the details of our third quarter free cash flow. Free cash flow was a use of $11 million in the third quarter, $6 million lower than last year. Higher net interest due to the timing of interest payments and higher taxes driven by the timing of payments and regional mix. Working capital requirements were $13 million higher than last year, primarily due to higher inventory driven by a slowdown in demand. Finally, use of cash was mostly offset by $71 million of lower capital spending, driven by a more normalized launch cadence this year and the timing of investment for future EV programs. Please turn with me now to Slide 12 for an update guidance for 2024. As we look forward to finishing the year, we are updating our outlook. We are lowering our sales expectation for this year to about $10.3 billion and $875 million in adjusted EBITDA at the midpoint of the tighter ranges. This is about $30 million higher than last year and implies a profit margin of 8.5%, a 50 basis point increase over last year. This change is due to the lower sales in the second half of the year driven by lower demand for traditional and electric vehicles as well as equipment across all our end markets. We are maintaining our guidance for full year free cash flow at $100 million. This is approximately $125 million higher than last year at the midpoint of the range. Our GAAP EPS guidance is expected to be $0.15 per share, and adjusted EPS is approximately $0.85 per share at the midpoint of the range. Please turn with me now to Slide 13, where I'll highlight the drivers of the full year expected sales and profit changes compared to last year. We are expecting about $115 million of lower organic sales for 2024 as new business and market share gains are more than offset by lower demand in the second half of the year. The adjusted EBITDA increase on traditional organic sales is expected to be approximately $140 million. The higher profit and margin increase of about 140 basis points due to company-wide efficiencies and aggressive cost-saving actions. Sales expectations for EV products have declined further this year due to the industry-wide pause in demand. We now expect about $35 million in lower incremental EV sales than last year. Adjusted EBITDA to be about $65 million headwind and 60 basis points of margin. Foreign currency translation on sales is expected to be a headwind of approximately $40 million with a profit impact of about $5 million. Finally, our commodity outlook is expected to be a headwind to sales of about $60 million due to lower recoveries driven by falling steel and other commodity prices. We expect a $40 million profit headwind due to the true-up in pricing governed by our 2-way commodity recovery mechanisms with our customers. Lastly, please turn with me to Slide 14 for an outlook of our free cash flow for 2024. We are maintaining our full year 2024 free cash flow expectations at $100 million at the midpoint of the guidance range. This is a $125 million improvement over last year. We expect about $30 million of higher free cash flow from increased profits. Net interest will be about $35 million higher due to timing of -- higher interest rates and the timing of payments due to the refinancing that occurred in 2023. Working capital is expected to be a use of about $40 million that is $45 million better than last year. Capital spending to support our backlog and technology is expected to be about $375 million this year, which is $50 million lower than our prior outlook and $125 million lower than last year, as we continue to flex spending to match customer program timing. Thank you for joining us today, and I will now turn the call back over to Regina, and we will take questions.
Operator: [Operator Instructions]. Our first question will come from the line of Tom Narayan with RBC.
Tom Narayan: My question has to do with the slide -- the guidance slide for 2024. If I look at that and compare to the one from last quarter, 2 things stand out. Traditional organic, you have revenue down $345 million, but EBITDA only down $5 million. I know you talked about cost-wide efficiency or company-wide efficiencies cost cutting. Just would love to double-click on that to get what exactly that is? And then the EV side, obviously, it's coming down by $45 million on EBITDA, would just love to hear how that works logistically, like presumably, you have a line of sight from last quarter of the order book and is it that OEM customers are deferring these orders to later? And if so, wouldn't they have to compensate you. Just trying to understand the mechanics of why that would change so dramatically given you have a line of sight.
Timothy Kraus: Tom, this is Tim. Sure. Good questions. So on the traditional, so if you think about where the falloff is coming from. It’s in the heavy vehicle markets. Those markets tend to move more quickly than others. And our customers can drop out orders or expected deliveries on a relatively quick basis. So that’s why you’re seeing such a large fall off from the second quarter guide to now is that’s really just the nature of those businesses. And of course, it depends on which of the’markets we're playing in and how quickly that demand falls off. When you think about, obviously, the lower EBITDA, obviously, much of that the non flow-through of the expected contribution margin is really a combination of better cost efficiencies and our ability to take those costs out. We also have some of it’s mix. So some of the places we’re seeing a lower sales volume, we have lower margins, so that mix differential is flowing through as well. So that’s on the traditional side. On the EV side, so here, we’ve seen a pretty dramatic falloff in the demand. And there, there’s a pretty strong mix change in that in terms of where those sales are coming from. And then we’re in the middle of really ramping up in PT on battery cooling. So we’re continuing to have launch-related costs in that business. And if you look at the segment walk, you’ll see the sales up in PT and the flow-through is not quite where we would expect it to be, and that’s typically – and that’s really around that launch – some of the launch impacts for that business.
Operator: Our next question comes from the line of Colin Langan with Wells Fargo.
Colin Langan: There's been some pretty clear media reports about that you might be considering selling your off-highway division. Any comment there? Would that be something that's on the table? Is there a valuation you might consider that would make that sort of palatable to you? And then is it possible, because I think in the past, you've talked about how all these segments are sharing things like EV tech. So can you actually split out one of the divisions?
James Kamsickas: Colin, this is Jim. The first answer I'm going to give you, which is no one should ever -- and we don't either. We don't kind of respond to media reports, so on and so forth. I would also just say don't -- no one is -- none of us can always believe what we hear type of thing. From our standpoint, what we do is we focus the entire team and everything we're doing on what we do, which is execute, execute, execute and that's where we're moving.
Colin Langan: I mean, maybe you could address whether is it possible to spin off a division? Because you have talked about how you share EV tech? Or is that something that you can do, even if you wanted to?
James Kamsickas: Not to get pedestrian on you, I guess, from my answer, but maybe this is my 18th year as a CEO, I would say anybody says you can't spin off any division in any company that's just kind of reckless comment to say that they couldn't. So I'd say anything is always possible in any business.
Colin Langan: Okay. And then if I look quarter-over-quarter, you have sales down 5% and pretty high conversion of 45% on those lower sales. What -- how should we think about the puts and takes quarter-over-quarter? And what's driving that sort of a little bit above average conversion into Q4 at the midpoint of your guidance.
Timothy Kraus: Yes, I mean, Colin, this is Tim. I think it's really the company-wide efficiencies and cost actions. And we've been talking about this, I think, over the last couple of years as we get better OEM production schedules more normalized. We're able to drive those efficiencies through the plant floor. So we're certainly seeing that come through. Obviously, I think there's also, as we go through this on the overhead side. We continue to make sure that we're spending what we need to spend, when we need to spend it to help support what the company is doing from a technology and a growth perspective. So obviously being careful where we're spending money there. And then obviously, there's a few one-timers in there that may not repeat related to certain recoveries and whatnot.
Colin Langan: Okay. So the higher decremental is that more of the last item, the one-timers that are in Q3 that...
Timothy Kraus: No, it's a mix...
Colin Langan: So many other talks about it positive. I just want to clarify. So...
Timothy Kraus: No, no. It’s a mix. Certainly. I mean, when you think about the quarter. But certainly, you’re seeing it and you’ve seen it all year in terms of our ability to continue to convert at a pretty high rate in the first 2 quarters of the year as well, and that’s continued on.
Operator: Our next question comes from the line of James Picariello with BNP Paribas.
James Picariello: Can you just provide any context that you could share just on what happened to the off-highway business sale, the European hydraulics business. How -- why or how has that fallen through now?
Timothy Kraus: James, this is Tim. Yes, I'll cover that. So we had the agreement and the buyer was not able to [Technical Difficulty] say that their financing fell through for the business.
James Picariello: Okay. All right. Understood. And then can you just provide color on what you're seeing within off-highway in terms of the end market weakness, right? We could obviously see the read-throughs on construction, on ag, access equipment sounds to be in decline with backlogs certainly coming in for OshKosh and Terex. Just high-level thoughts as to what you see for the fourth quarter? And then just based on your history, within each of these cycles, how long might this downturn last? Just your high level thoughts there?
Timothy Kraus: So yes, we’re really seeing market weakness across all the – so you mentioned basically all of them, ag, construction, material handling, mining, those are all coming in weaker now. It depends on – those are the broad categories. We obviously don’t supply everything to everybody, so there’s a little bit of mix in there as well. So that’s what we’re seeing. We’re continuing to be cautious about those end markets as we move through the end of the year. To answer your question, the markets tend to move quickly and typically, the downturns are – and the upturns are a bit shorter. So while we’re continuing to think about this, I mean, we’re coming out of a little bit of a different where we were up for a number of years. So we’re just being cautious and keeping our eye out for where the inventories are and what our customers are saying in order to gauge where this might go. But obviously, the team continues to perform and flex cost in that business really, really well. If you just think about the third quarter, sales were down over $100 million. And I think the only – the downside conversion on that was less than 10%. So obviously still doing a really great job of flexing costs and improving efficiency in light of the softer markets.
Operator: Our next question comes from the line of Bruno Dossena with Wolfe Research.
Bruno Dossena: I wanted to come back to the cost performance that you showed in the third quarter and that I believe is being implied in fourth quarter guidance as well. And specifically, if these -- if this cost performance represents changes to the underlying capital base that longer term would indicate higher profitability and free cash flow at any level of industry volume.
Timothy Kraus: Yes. Bruno, this is Tim. So yes, these are real structural cost changes in the business. We really -- it's in the DNA for us to continually improve what we're doing, whether that's the purchasing organization, whether it's the back office, whether it's the plant floor. So we obviously see the cost savings and the margin improvement to be enduring, and we continue to work, to continue to drive those cost savings into the future.
Bruno Dossena: Okay. I think on a similar line with respect to the capital base. Look I think we can all appreciate the expectations for EV volumes have come down for several years ago. And it would also make sense if the level -- the pace of EV investment the company was making over the past several years, anchored to a volume assumption it was much higher than it's actually being realized. And so I was also hoping you could provide some context around what these EV investments have done to the underlying capital base and how that may impact returns going forward?
Timothy Kraus: Yes. I think the – generally speaking, we – for the largest of our expectations, we’ve been able to flex putting that capital base onto the ground. Obviously, we have an in-place capacity for electrodynamic components of motors and inverters, and we continue to utilize those and temper what additional capacity we might bring on based upon how we see the market going. So I think when you think about what we’ve spent to date and what we were planning to spend in the future, we continue to be able to flex that and you’re seeing that this year. I would continue to see our ability to be able to flex that into the future based on where we see the market and the growth in those markets. But I don’t look at it as we have a lot of idle capacity that we built up in expectation. We – the highest volume and the largest investments in the business, really haven’t been made yet, and we’ve benefited from our ability to flex when we have to make those investments based on customer demand patterns.
Operator: Our next question comes from the line of Joe Spak with UBS.
Joe Spak: The guidance implies some pretty strong free cash flow in the fourth quarter. I just want to maybe better understand some of that seasonality. And then just as we sort of think about '25, I know you didn't give much color other than some softer end markets and we could make our own assumptions there as to the sales and sort of the flow through. But if we start with whatever assumption of EBITDA we want. What else should we think about from a free cash flow perspective in '25, whether it's working capital taxes, CapEx? And I guess also just from a cash perspective, is there any other expected residual payment for TM4 next year?
Timothy Kraus: So I'm not really prepared to talk about '25 in any specificity at this point. I think a couple of data points. Well, maybe I'll take your fourth quarter question, first. So we do expect pretty strong cash flow in the fourth quarter. That's not unusual when you look at the seasonality in our business and when cash flows generally come in. So that follows along with how we generally generate cash in the business. I think you sit there and think about that what we have for fourth quarter, a lot of that is going to be coming from working capital and CapEx from a timing perspective. And then into next year, obviously, I don't want to get into the details, but we do think we still have some more opportunity from a core working capital, especially given how quickly some of the end markets fell off in the businesses where we have a bit longer supply chain. So we do think we have some opportunity next year from a working capital perspective that we can still go and work to get more efficient on.
Joe Spak: And anything on TM4?
Timothy Kraus: Obviously, we have ongoing conversations and negotiations with TM4. But no update at this point.
Joe Spak: Okay. And then, look, I sort of appreciate your commentary on some of the reports Colin mentioned earlier. I guess just to sort of maybe refresh us. Can you just remind us of some of the synergies that you have between, let's say, off-highway and the rest of your business? For instance, I noticed like in the slide, you mentioned Graziano and the Lambo. And if I recall that Graziano acquisition was really centered around off-highway. So maybe just sort of how some of the tech and capabilities within off-highway cascades to your other businesses? Just a refresher there would be helpful.
James Kamsickas: Thanks for the question. This is Jim. I’m going to use Tim style here. I’m going to work from the back forward. Let’s take your example of Graziano. Graziano was a brand inside of the Oerlikon acquisition and had a good blend of off-highway and light vehicle super sports car transmission capabilities and then a little bit in between. The brand is the brand, the product capabilities in the company we use them, they really were a cross market. They were in all 3 markets as well. It just wasn’t as much kind of it wasn’t – it was front and center when you looked at it from the outside looking in. Look speaking of the synergies of the company, and it’s very straightforward. This is probably more just a public service announcement about Dana than it is, but I will answer your question. I mean, we understand, Dana – we’re a 3 business unit, division, call it what you want, driveline company. And the Power Techs Group supports all 3 relative to thermal management capabilities, sealing capabilities and obviously, electrification capabilities even more than the others. So they're all interconnected. There's not one thing I can point to that’s – there’s not some benefit to it. But there’s also, like I said earlier on the call, I mean everything is flexible in the business as the industries change and opportunities exist. We look at all those things. So there’s not one thing that I’d say is – you can’t continue to get synergies one way or the other. And I can’t say there’s one thing or another that wouldn’t say that there isn’t synergies that exist. So I know I can’t answer your question there because if I did, I would talk about every line item detail in any given company about where there are synergies. But long story short, they run a great business in the off-highway. They run a great business in commercial vehicle, they run a great business in all the businesses. And when the opportunity exists, they take it.
Operator: Our final question will come from the line of Dan Levy with Barclays.
Dan Levy: First, wanted to just ask about -- maybe you could articulate a bit more about your efficiency actions, cost saving actions. How much runway there is there? And just given the end markets are likely to remain soft for the time being, how much more you can flex it down? Maybe you could just remind us of how much more low-hanging fruit there is on inflation reversals?
James Kamsickas: Good question. Another -- this is the day of broad questions that are tough to give a direct answer to, and this one included because there's so many moving parts inside of a business. As I mentioned in my prepared remarks, I mean our ability to continue to basically reduce our breakeven point and continue to expand margin, even in reduced sales is a combination of focusing on material costs, conversion costs, obviously, to make the product and pricing actions. All of those -- it's the most important thing you can take away from Dana is that it is a very, very system-driven company, very controlled operations, very controlled administrative controls, very controlled across the board. Once you have that, you have standardized -- I call it standardized work coming to my manufacturing days, but standardized work across every single thing we do. So every one of those elements, we're going to continue to take incremental improvement. And that's what we've been doing quarter after quarter after quarter, and we're going to do in the future. What does that mean as it relates moving forward. My expectation of the company is to continue to evolve those curves you saw in that prepared slide in my section, which is what I call sustaining improved process, assisting improved margin improvement by pulling on material cost, conversion cost and pricing improvement. So very ambiguous in general because it's too hard to talk about isolated actions you take but that's the way we run the business, and we fully expect we'll get where we want to be, while at the same time, having that in-house electrodynamic capability, which most people don't have that position us to continue to win full complete 3-in-1 E-Axle and E-Systems across our end markets.
Dan Levy: Great. And as a follow-up, look, obviously, this is the question that keeps on coming up. EV environment is lower. At what point do we start to see sort of a materially lower CapEx outlook or reduced R&D reflecting either, a, some recoveries from customers, which I think the question was brought -- the comment was brought up earlier. But b, just less in the way of tooling activity as some of these programs are delayed or slowed down.
Timothy Kraus: Yes, Dan, this is Tim. So I think you're obviously seeing that right now, right? So our CapEx in the forecast for the outlook is materially lower than where we started the year and a large piece of that is the flex on EV spending versus where we originally thought we were going to be based on program timing. I think absolutely, there's more that will flow through and we'll continue to really push and make sure that the timing is absolutely where it needs to be and not a minute before and not $1 more than we really need to, to make sure we're being as efficient as possible. In terms of the period cost, that's already happening as well. I mean it's tough to see it when you look at the year-over-year comparisons, given the drop-off in the EV sales. But we are flexing the engineering and program costs around EV to make sure that it's being spent appropriately relative to where the timing on these programs is as they get, delayed or elongated and moved around with customer.
James Kamsickas: Okay. Well, this is Jim. Thanks, everybody, for attending the call. As always, we appreciate your interest in Dana and your great questions that you have. Just some brief closing comments would be, you see with Dana, it’s the beauty of our business. We do – we are in all the different markets. Some of them come with faster and quicker movements on demand, which can be really good and sometimes it makes it a little bit tough though – more difficult, but what should be the read-through, I hope is the read through is just our ability to flex in that. The company has never been positioned stronger with an ability to flex for demand increases or demand – quick demand reductions that we saw in the quarter, and they weren’t demand reductions only in off-highway or commercial vehicle or light vehicle or a cross. They were across the board. Because there’s so much stability in the business and the company is ran by process, not by hard work and just thought. But in terms of process, the team has done a remarkable job, continues to do a remarkable job, providing leading quality delivery, overall customer satisfaction, while having the technology platform that customers need across ICE, hybrid and electric vehicles. So thank you very much for your time and attention today.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.